Mizuho Shen: Welcome to the Recruit Holdings' Third Quarter FY 2022 Earnings Conference Call. This call is a simultaneous translation of the original call in Japanese and translation is provided for the convenience of investors only. I'm Mizuho Shen, Group Manager of Investor Relations and Public Relations. And joining me today is Hisayuki Idekoba, President and CEO; and Junichi Arai, Executive Officer of the Corporate Planning Division. Jun will briefly go through the third quarter results we announced at 3:00 p.m. today and proceed to the Q&A session. The presentation we will use today is available on our IR website. Please note that all comparisons during this conference call are year-over-year unless otherwise stated. As a reminder, we have applied a new definition of adjusted EBITDA, adjusted EBITDA margin and adjusted EPS from this fiscal year. And the new definition is applied retrospectively to the FY 2021 for the comparison purposes. Now I'll turn the call over to Jun.
Junichi Arai: Thank you for your participation today. I am Junichi Arai, Executive Officer of the Corporate Planning Division of Recruit Holdings. I will begin with the consolidated results of operations for the third quarter of FY 2022. Consolidated revenue was JPY880.1 billion, an increase of 18% as revenue in all segments, HR Technology, Matching & Solutions and Staffing increased. Consolidated revenue increased by 6.5% on a constant currency basis. Consolidated adjusted EBITDA margin decreased by 3.3 percentage points to 15.7% as adjusted EBITDA margin in each segment decreased. Adjusted EBITDA decreased by 2.6% to JPY138.2 billion. Adjusted EPS for Q3 of FY 2022 was JPY50.27. Based on the results for the third quarter and our outlook for Q4, we have made slight revisions to our financial guidance for FY 2022 from what we announced in May. Now I will explain the details in each segment. First, I will talk about HR Technology. U.S. dollar-based revenue was $1.9 billion, approximately flat year-over-year or an increase of 3.9% on a constant currency basis. Quarter-over-quarter U.S. dollar-based revenue decreased by 8.7% due to less hiring demand from employers. This revenue was higher than two years ago, in Q3 of FY 2020 when revenue was approximately $1.1 billion. On a Japanese yen basis, revenue increased by 24.2% year-over-year. While the labor market remained tight globally and total job postings were above pre-pandemic levels on Feb 1, 2020, the supply and demand mismatch between job seekers and employers continue to ease. Total job postings on Indeed, composed of free and sponsor job postings returned approximately to the levels of one year ago, and job seeker activity as measured by traffic and applies on Indeed in Glassdoor increased year-over-year. On a U.S. dollar basis, revenue in the U.S. decreased by 2%, and revenue outside of the U.S. increased by 5.3%. Adjusted EBITDA was JPY78.8 billion. Adjusted EBITDA margin decreased by 6.7 percentage points to 28.1%, 2.3 percentage points lower than Q2 as personnel costs grew more than revenue due primarily to hiring in the first half of this fiscal year. During Q3, we controlled expenses in light of the business environment and advertising expenses decreased year-over-year. Regarding our Q4 and FY 2022 outlook, revenue on a U.S. dollar basis in January decreased by 1.5%. And based on the current U.S. macro environment and the downtrend of our financial performance, we expect revenue in Q4 will be down approximately 5% year-over-year. Although, we mentioned on the last earnings call that HR Technology revenue growth for this fiscal year would likely be closer to 10%, we have revised our outlook for revenue growth to approximately 8%. This change is based on the continued negative impact of the strong U.S. dollar and slightly lowered expectations for U.S. dollar-based Q4 revenue. While carefully controlling operating expenses, including by reducing marketing expenses and pausing hiring, we expect adjusted EBITDA margin for FY 2022 to be slightly lower than our initial outlook of approximately 30% due to lower revenue than expected. Next, I will talk about the results of Matching & Solutions. Revenue in Matching & Solutions was JPY191.9 billion, an increase of 13.9% with an increase in revenue for both Marketing Solutions and HR Solutions, which reflects the recovery of demand in the Japan economy. Matching & Solutions' total revenue exceeded pre-pandemic levels when revenue was approximately JPY180 billion in Q3 FY 2019. Revenue in Marketing Solutions was JPY115.4 billion, an increase of 13.1% as revenue in housing and real estate, beauty, travel, bridal and dining, all increased. Revenue in HR Solutions was JPY73.7 billion, an increase of 17.5% as revenue in the job advertising service and the placement service both increased. Adjusted EBITDA decreased to JPY31.6 billion. Adjusted EBITDA margin was 16.5%, a decrease of 5.2 percentage points as marketing expenses, mainly including advertising expenses grew more than revenue. As of December 31, 2022, the cumulative number of SaaS accounts was $3 million, and the number of AirPay accounts was 359,000, an increase of 37.8% year-over-year. More detailed information in terms of the number of Air business tool SaaS accounts can be found in the earnings release. Regarding the Q4 and FY 2022 outlook for Matching & Solutions, we expect the recovery of economic activities in Japan to continue in Q4. Revenue and marketing solutions for FY 2022 is expected to increase by approximately 13% year-over-year, revised from an increase of approximately 9% to 14% year-over-year. And revenue in HR Solutions for FY 2022 is expected to increase by approximately 18.5% year-over-year, revised from an increase of approximately 16% to 23% year-over-year. Adjusted EBITDA margin is expected to be lower in Q4 due to aggressive marketing activities to meet the expected demand from April onward. While revenue for this fiscal year in both Marketing Solutions and HR Solutions are expected to be within our initial outlook, strategic investments to realize our long-term business strategy are expected to exceed our initial expectations. As a result, we expect adjusted EBITDA margin for FY 2022 to be slightly lower than our initial outlook of approximately 14.5%. Finally, I will talk about the results of staffing. Revenue was JPY415.6 billion, an increase of 16.2% or an increase of 7.4% on a constant currency basis. Adjusted EBITDA was JPY29.8 billion, an increase of 4.2% and adjusted EBITDA margin was 7.2%. Revenue in Japan was JPY174.4 billion, an increase of 12.1% due to an increase in the number of temporary staff on assignment as a result of continued growth in demand for staffing services. Adjusted EBITDA was JPY15.7 billion, an increase of 6.2%, and adjusted EBITDA margin in Japan was 9.1%. Revenue in Europe, U.S. and Australia was JPY241.1 billion, an increase of 19.4%, an increase of 3.8% on a constant currency basis. Despite a year-over-year slowdown in demand related to supporting COVID-19 mitigation efforts in the European region in FY 2021, demand for staffing services continued to increase. Adjusted EBITDA was JPY14 billion, an increase of 2%. Adjusted EBITDA margin was 5.8%, a decrease of 1 percentage point as expenses grew more than revenue due to the impact of inflationary effects and increased headcount. Regarding the outlook for Q4 and FY 2022, in Japan and Europe, U.S. and Australia, the business environment during the first nine months of the fiscal year is expected to continue in Q4 as the demand for staffing services remains higher than our initial outlook, we expect revenue growth will exceed our initial outlook range. For Japan, we have revised our FY 2022 revenue outlook from an increase of approximately 9% to 12% year-over-year to an increase of approximately 13% year-over-year. For Europe, U.S. and Australia, we have also revised our FY 2022 revenue outlook from an increase of approximately 5.5% to 7% year-over-year to an increase of approximately 17.5%, mainly due to the positive impact of foreign currency fluctuations. Europe, U.S. and Australia saw significant changes in its outlook due in part to the foreign exchange impact of the large discrepancy between the assumed exchange rates in the initial outlook and the actual rates for the first nine months of the current fiscal year and the assumed rates for Q4 caused by the weaker yen. Adjusted EBITDA margin for FY 2022 is expected to be approximately 6%, in line with our initial outlook. While revenue growth is expected to exceed our initial outlook range in order to meet the demand for staffing services from April onwards. We expect advertising expenses, including recruitment expenses in Q4 to exceed our initial outlook. Based on the outlook for each segment as noted earlier, we determined it is appropriate to revise the FY 2022 consolidated financial guidance announced on May 16, 2022. In May, we announced our consolidated guidance for the current fiscal year of JPY3.3 trillion in revenue, JPY520 billion in adjusted EBITDA and JPY170.65 in adjusted EPS. We have revised our FY 2022 financial guidance to revenue of JPY3.425 trillion, adjusted EBITDA of JPY525 billion and adjusted EPS of JPY180. We assume foreign exchange rates for Q4 of JPY132 per U.S. dollar, JPY138 per euro and JPY89 per Australian dollar. Regarding the share buyback announced on October 17, 2022, we reached the maximum share buyback amount of approximately JPY150 billion on January 6, 2023, repurchasing a total of approximately 35 million shares. Please refer to the IR website for more details. This concludes my presentation. Thank you.
A - Junichi Arai: Now let's proceed to the Q&A session. As we did in the prior results call. Firstly, I will ask a few questions about a topic that I believe you have an interest in. We will then take your questions. We will then take your questions. Now, Deko, last quarter you highlighted how tight the labor market has been around the world. What are your thoughts on the global HR Matching Market and have there been notable changes since last quarter?
Hisayuki Idekoba: Not much has changed from what we discussed in November. The labor supply shortage resulting from long-term and structural changes in the labor market, which is the aging workforce, shifts in immigration and changing attitudes towards work-life balance remains challenging in almost all developed countries. Job postings in the U.S. are at a high level, 11 million in December. However, the significant hiring demand brought about by the pandemic is gradually normalizing from its peak in 2022 towards the pre-pandemic levels seen in 2019. Outside the U.S., the situation is different. The labor market in Europe, including the U.K., remains tight, and Japan continues to recover from the pandemic. The magnitude of normalization we've seen in the U.S. has not yet happened. Job seeker activity is recovering globally as the number of visits to Indeed and Glassdoor and the number of applications is on the rise.
Junichi Arai: How are those trends reflected in HR Tech's financial performance during the quarter? And what do you expect for the rest of this fiscal year and FY 2023?
Hisayuki Idekoba: In the U.S., we are now seeing a discrepancy between the trends in the total open jobs and sponsored jobs. In Q3, on Indeed, total job openings were down 3.5% year-over-year, while sponsored job volumes in the U.S. were down 33% year-over-year. As I mentioned earlier, there are still many job openings due to the labor shortage. However, with announcements of layoffs and reports that the economy is likely to worsen, we are seeing a decline in employers' willingness to spend to hire in many industries despite the labor shortage as they become increasingly cautious due to a potential recession in the U.S. However, we've made various improvements that we believe are really making it faster and easier for employers to match with qualified job seekers. As a result, posts per job advertisement has increased. And U.S. revenue has held up relatively well, decreasing 2.0% in the third quarter. On the other hand, revenue outside of the U.S. increased 20.7% year-over-year on a constant currency basis with strong performances in Germany, France and Japan. On a U.S. dollar basis, however, reported revenue increased 5.3%, impacted by the strong U.S. dollar. We saw these trends continue in January with HR Tech revenue declining approximately 1.5% year-over-year, as we mentioned earlier. We usually see sponsored job volumes in the U.S. pickup in January compared to December, but there was less month-over-month increase than in a typical year. Considering these trends and the continuing strength of the U.S. dollar, we have revised our revenue growth outlook for the fiscal year from approximately 10%, as we mentioned in November to approximately 8%. Looking ahead, we believe the supply and demand mismatch in the labor market that occurred during the recovery from the pandemic will continue to normalize from its peak in 2022. In the U.S., for example, we believe the job openings will likely decrease to pre-pandemic levels of about 7.5 million jobs or even lower over the next two to three years. We will continue our efforts to grow revenue and earnings by improving the value we provide to employers. However, given the current rate of decline in employers' willingness to spend to hire, it is becoming increasingly likely that HR Tech revenue will decline in FY 2023 and potentially again in FY 2024.
Junichi Arai: In light of these trends, what measures are you taking to prepare for a challenging environment?
Hisayuki Idekoba: With so much uncertainty regarding the outlook for the economy and the labor market, we are preparing for a difficult economic environment by taking a cautious approach and controlling costs. In HR Tech, as we mentioned in November, we have already implemented cost control measures such as a hiring freeze and reduced marketing and other expenses. Throughout our company's 60-year history, we have a strong track record of successfully navigating economic downturns by reducing costs while balancing this with long-term growth investments. With this approach, we aim to expand our business during the recovery phase just as we have done in previous recessions. We expect the difficult economic situation is going to impact all HR-related companies. Our strong financial position with a solid balance sheet and stable cash flow puts us in a relatively favorable position. Even in difficult environment, we will continue to pursue our long-term strategy to simplify hiring because hiring continues to be a costly and inefficient process. Our goal is to make it easier and faster for people to get jobs. We will continue to invest in AI and machine learning to further automate manual recruiter tasks and increased human productivity. This will also result in important investments in collaborations across all of our SBUs and to improve our productivity. We believe the lack of innovation in this industry is partly due to the fact that when economic downturns occur every six to 10 years, most HR companies fail to keep investing in the future. We believe that we have prepared ourselves to be able to continue to make strategic investments during this downturn. We will carefully prioritize and control all investments and costs. However, we will not manage our business by targeting recent margin levels in HR technology. We believe that operating our business with a long-term view is critical to achieving the best results for job seekers and employers.
Junichi Arai: Thank you. Moving to the Matching & Solutions business in Japan, what is the current situation and the outlook for the business environment in the next fiscal year?
Hisayuki Idekoba: In Japan, as we discussed previously, demand is rising due to the recovery in economic activity from the pandemic, especially in the travel and dining industries. In HR Solutions, hiring demand continued to increase while some business clients began to act cautiously on hiring. You mentioned earlier that strategic investments are expected to exceed our initial expectations, considering the business environment and revenue results. But we assume that the situation in the next fiscal year will be different. Assuming that the possibility of a recession will increase in Japan as well in the near future, we will balance the strategic investments with cost control measures while considering the business environment as we will do for HR Technology.
Junichi Arai: Lastly, we announced today the appointment of Katrina Lake as Outside Board Director. If she will be approved as Outside Board Director at the AGM in June, the percentage of Outside Board Director on the Board of Directors will be 50%. And also three of eight Board Directors will be women. What do you expect from her?
Hisayuki Idekoba: Katrina is the founder of Stitch Fix, a publicly traded U.S. company that uses AI to streamline personal styling. She has extensive experience, expanding the business and listing in the U.S. stock market, and she also has a wealth of knowledge serving as a director of several platform companies. I expect her to contribute to overseeing the management of our company, which operates a global matching business. I believe that increasing the diversity of the Board of Directors, including gender, experience at startup or large companies, nationality and age will further promote the creation of new value for us.
Junichi Arai: Thank you very much, Deko. Now let's take questions from participants. Mizuho, please proceed.
Mizuho Shen: So we'd now like to proceed to the Q&A session. If you have a question, please use the raise your hand button on the Zoom when you're designated, please unmute yourself and ask your question. We will accommodate two questions at a time. So anyone with a question? So Mr. Shinnosuke Takeuchi from Jefferies Securities.
Shinnosuke Takeuchi: This is Takeuchi from Jefferies. Thank you. I have two questions. The first question is in regards to the HR Technology. The measures to increase the unit price per transaction. And if I heard you right, in U.S., the sponsored job posting was minus 33%, but the revenue decline has become somewhat mild. And so the unit price per the job is increasing. So the recognition of our customers increasing and what are the measures that are functioning well? And if you could explain the reasons behind this trend? And the second question is the company-wide, the margin outlook for the entire company going forward. And the HR Technology operation growing and Matching & Solution in Japan, there is a possibility of downturn. And so you have expressed your view and realize the potentially suppressing cost. But any EBITDA margin that you're looking at as part of this or is there other cost suppression the initiatives that you're thinking of? Thank you. Those are my two questions.
Hisayuki Idekoba: Thank you very much for your questions. To begin with, how -- in regards to the increase in unit price for HR Tech. And thank you for your question in that regard. Now I may have explained about this in the past. So until now, when there was a click, well, the ad was viewed. So for something like an advertisement, we actually charged. But over a medium to long term, the success of the customer, in other words, the successful hiring. And so the successful hiring from the user perspective is also a success. And so since many people looked at the postings so likely to have more payment. And if we continue to do that, then we will start to think that the business should just show the posting to as many people as possible. And so we want to look at the success of the customers, the success of the users, and we want to charge with that, and we've started to do more of that. And what we've described in the past was -- and when there was an application and the applicant's quality is very high. And maybe within 72 hours, willing to pay for that type of person, if we are able to confirm that, then we'll have that charge to take place. So we've started to test that, and as I've explained previously. So this type of customer, if they are convinced with this type of usage, and then we are seeing that type of customers increase gradually. But for larger customers, we have done a number of tests, but not just looking at it or just a click, but they looked at it. And when there is an application in practice, then charge is incurred. So we are doing that type of a test as well. And also, rather than a search per se, more a recommendation, and so using machine learning. And so if there is this type of the candidate would be suitable or most appropriate for this type of a job. And to be able to show that to the employers' side such an initiative or from our perspective, setting up an interview and to start the interview immediately. So that type of initiative is also something that we are working on. So as a consequence of these and the amount that we charge per customers is increasing gradually. And I apologize for repeating this many times. But what is most important is the user side and for those seeking jobs, their biggest complaints so far was that they apply to 10 or 20 postings, but there's been no replies at all. And that has been the biggest complaint thus far. And so within 72 hours to have a reply made and by mixing that with the charges from the user's perspective and able to learn the result at a very quick duration as to whether one could have move to an interview of where that was turned down amount wise. And as a consequence, the value is increasing and as a consequence of that, the amount is increasing. And so what I've described before, the advertising, the fees have come down 33% and the revenue coming down by 2 points or many percentage points. Now this was the consequence we ended up with of the situation. And so here, various some outcomes. We want to work towards enhancing these outcomes, and we want to charge in line with that. And this type of initiatives are now starting to pay better results. So that would be my response to your first question. Now second question in regards to the EBITDA margin, how we are thinking about this going forward. Now I have mentioned this on a number of occasions in the past as well, but for a company like us, where we conduct our HR related business, we have certainly faced difficult situations many times in the past. And so when those situations occur, then when we set an EBITDA target at a certain level, then we end up reducing a very important investment for the medium to long-term growth. And we've done that in the past. Of course, we are targeting to have high EBITDA margin. That is true, but rather of the number of investment -- the projects, we want to work on prioritizing these more carefully. And as a consequence of doing that, we will achieve this level of EBITDA margin. And that's the kind of the management approach that we'd like to continue in the future as well. And so it's not the case that we have a particular EBITDA margin that we are targeting as we operate. I hope I answered your question.
Shinnosuke Takeuchi: Thank you very much. If there is a follow-up, okay, in the first the question, not a click charge, but the application based charge. So what -- how many percentage of the contracts are based on that? Is there any hint as to the scale of this?
Hisayuki Idekoba: Well, at this point in time, as we have explained previously, we are still doing the testing phase in terms of numbers. But it's not the case that the unit charge is increasing just based on the click from the customers. It's various initiatives that we are doing together. And as I explained before, for example, there are still job posting because there are shortage of people. But we are seeing decrease in employees willing to spend to hire people. So what they are doing is they're still paying to fill those -- the openings that they must fill. But for this type of work where they're not spending much money, it’s becoming JPY0, it’s becoming free. But they're still paying for those key openings where they really want to fill. And that is the basis on which the unit charges have increased. And so this is an additional explanation as a consequence. I hope this answered your questions. Thank you.
Shinnosuke Takeuchi: Thank you.
Mizuho Shen: So JPMorgan Securities, Mori-san, please.
Haruka Mori: Yes. This is Mori from JPMorgan. Thank you very much for the opportunity. My first question is related to the earlier question. So this time, volume and the unit price as a result were referred to. If possible, what was the trend in the second quarter? The unit price is just a result. And so it's probably hard to see or foresee. But as a trend, now the situation is becoming more unforeseeable, you said. But this year or next year, the volume may decline significantly. So will the current measures you are taking, probably resonate with the users you think or when the macro economy environment is changing dramatically, you need to experiment and test a little more. So how do you plan to proceed? Which process are you thinking of taking going forward? My second question is also on HR Technology. In the non-U.S. markets, correct me if I'm wrong, you said U.K. and Germany are strong. So non-U.S. regions, the trend outside of the U.S., the way to see the job posting trend, what kind of timeline will you implement these measures outside of the U.S., if you could share us some information? Thank you very much.
Hisayuki Idekoba: Thank you. First of all, we want to raise our value to our users and clients and how we think it is being evaluated by our users and clients. We ask very simple questions, for example, how should I say; clients' advertisement, Recruitment Me advertisement is viewed by 1,000. How much do you plan to pay if it is viewed by 1,000 or if 100 applies. Now of the 100 applicants, the real high-quality talents that you would very much like to have, if only three very talented people apply, how much are you willing to pay? And/or how much are you willing to pay if you pay at the point of recruitment, at the point of hiring? So we are doing such tests, asking questions to our clients. I may have said this before, but at the successful hiring, how much are business clients paying? For example, 25% to 35% of the initial salary or maybe 100% or 50% in some industries. But if it's -- how much are you willing to pay when 1,000 people view? Then the answer is maybe JPY10,000 or JPY20,000. So in SMEs, who want to fill the positions, this way of receiving money or receiving payment may be favored by some SMEs. But let's say, respond to the users within 72 hours, for example, pay JPY200,000 and be viewed by so many people, 20 people and select which of the 20 are good and to contact one or two people. So through this process, we have to change the conventional process of the business client side and that part still has some resistance. So let's say, within 48 hours or 72 hours, they say, what about weekends, Saturdays and Sundays or some companies may say, we have a day off or Wednesdays are off. So for the applicants, applicants, of course, wants quick Reply. And so we changed the way we charge and bill and have the business clients get used to this process and change their behavior. We're trying to do that. But this behavioral change is required. So it's not like changing everything overnight. We need to gradually change the business clients' behavior over time, cautiously. So towards next year, it's not we're trying to do this in the great speed to offset the entire volume decline. We are trying to talk with our customers in a detailed, meticulous fashion so that they will change their behavior. For large companies, it is even more complex. There are many people in charge of different posts, different jobs. So overall, we think we are being well recognized and good feedback. But there are still many challenges to overcome. So I hope this answers your question. And in the non-U.S. markets, our initiatives, our measures to increase our value outside of the U.S. As I alluded to earlier, when we look at the labor market alone, in case of wage, salary in the U.S., wage goes up sharply and the inflation is gradually declining. And U.S. unemployment soared to 14.9%. But in Europe, 6.9% in April 2020, maxed at 7.8% in August and is now back to 6% unemployment. And so compared to the U.S. volatility, Europe was not that volatile. And as you know, in Japan, we don't even have that level of volatility. So the labor market is still healthy in the first place. In the U.S., the unemployment rate shot up and now recovering, and that did not happen in Europe. Now the status of our test. In Europe, we have started our test. Compared to the U.S., we're doing the test in Europe about one or two quarters later than in Europe. So I hope this answers your question.
Haruka Mori: Yes. Thank you. One -- the first question, for large corporates, the implementation has not progressed much. Sorry, I don't have the good understanding.
Hisayuki Idekoba: Yes, we are progressing with our tests in large corporates as well. And it depends on country, differs from country to country. Large companies, in many cases, have IT system. So system integration, for the companies that have deep system integration with us, we conduct tests more aggressively. So there's still some variance, variation, but the test itself is ongoing. It's progressing.
Haruka Mori: Thank you very much.
Mizuho Shen: Yamamura-san, Citigroup Securities. Please go ahead.
Junko Yamamura: This is Yamamura from Citigroup Securities. Thank you for the opportunity to ask question. Hope you can her me. I would like to ask two questions. The first question is related to the former two questions. But despite the various factors, CPQA initiatives, and you have been working to increase the customers' wallet share, and that is great. But -- so -- but as we enter into recession, the employers are becoming more conscious of the quality. And from the job seekers' perspective, there is a greater demand for high-quality platform. And so as a consequence, so the unit charge increased in a short time. So even if we start to see the numbers increase in recovery period, do you expect the trend to continue structurally? That's the first question.
Hisayuki Idekoba: Please ask your second question at the same time, please.
Junko Yamamura: Okay. So the second question, we don't know till when the recession will continue to, no one knows. But the first recession, a rapid recovery in demand, then more than the macroeconomic recovery, do you feel that you'll be able to achieve greater growth than that. And if you have the headcount, would you be able to exceed the recovery. And if others, the slowing down on hiring, then the engineers or data scientists that was highly completed for, it may become easier for you to hire these people or do you intend to still implement control? And so please respond to these questions, please.
Hisayuki Idekoba: Thank you. So in regards to the first question, the changes in the macroeconomic condition has led to the unit charge increasing and our product improving that has led to the unit charge increasing. We've been able to look at these two separately. Well, we have been doing a lot of tests thus far and statistically significant, the test -- and so this test or if we use this type of framework, the customers' unit charge is increasing so much or this has changed from this to that. We have been looking at this in quite detail based on the testing framework that we are using. So we are able to check these -- the details quite thoroughly. But what we've explained at the outset, the revenue minus 3.2%. This has also been reflected. So the final -- the outcome is mixed. But in regards to the progress of testing, we have been able to identify the outcome quite clearly. And the rebound from recession, and your second point, can we achieve a greater recovery than the macroeconomic recovery? No. In that regard -- and the macro-labor market situation, and I may be repeating myself, but the situation of the macro-labor market and as a product and to what extent our platform has been improved? And I want to separate these 2 quite briefly and give some explanation. So to say, for example, before COVID, in U.S. between 7 million to 7.5 million job postings or job openings. Right now we are at $11 million. And so a 7 million or 7.5 million to return to the pre-COVID level is likely to occur. And in terms of recession and then 7.5 million in 2019, we may actually go beneath that 6 million or 5 million and that would be the worst-case scenario. But if it is 6 million or 5 million job openings, then -- so as against 11 million, the volume will come down by half. But as I've explained and since there are improvements on -- for their product and, for example, very briefly, if the unit charge doubles, then the revenue will not change. I don't know whether we are able to do this or not, but that is the kind of thing we are working on. And after that, and if you look back over past history, recessions do occur, but also something that occur with certainty is improvement after a recession. And third, if we take a long-term perspective, whether it be U.S. or Europe, then there will be more people dying, then people are coming into this world. In other words, the labor is now definitely shifting to immigrants. And so the shortage of labor is not going to be resolved all that easily from the structural perspective. And so 7.5 million to 8 million or 9 million job postings could occur, of course. And at that point in time, if the value that we provide have improved, then the unit charge could increase by 50% or 80%. And if that were to occur, then that will reflect into our revenue and profit, hopefully. Well, we may be jumping the gun in one sense, but the macro trend, volume and the product improvements reflecting the unit charge. And if we actually modify the two, this type of thinking could become possible.
Junko Yamamura: Understood. So volume times unit charge. As you already have been speaking, you can achieve or see both done.
Hisayuki Idekoba: Well, gradually, from an option model, we are still keen to see the model change. Say, for example, in this particular area or say, for example, these 5 experiences or license where we're actually recruiting for someone with this type of capabilities, then we are currently indicating the price per applicant. But that type of conflict is now less likely to occur now.
Junko Yamamura: Understood. Thank you very much. Thank you.
Mizuho Shen: Thank you. It is time. So I'm sorry, we cannot answer all your questions. But with that, we will close the earnings call. Thank you very much.